Operator: Good morning, and welcome to Washington Trust Bancorp Inc conference call. My name is Ed, I will be your operator today. (Operator Instructions) Today’s call is being recorded. Now, I will turn the call over to Elizabeth B. Eckel. Senior Vice President of Marketing and Investor Relations; Ms. Eckel.
Elizabeth Eckel : Thank you for joining us on today’s call for fourth-quarter and full-year 2013 earnings. Washington Trust trades on NASDAQ global select market under the symbol WASH. Today’s conference call is being recorded and a replay of the call will be made available through the corporation’s website at www.washtrustbankcorp.com, after the conclusion of the call. A reminder that the information we provide during today’s call is accurate only as of this date. And you should not rely on these statements after the conclusion of the call. Hosting this morning’s discussion is Joseph J. MarcAurele, Chairman and Chief Executive Officer; and, David V. Devault, Vice Chairman, Secretary and Chief Financial Officer. Also joining us on today’s call is Edward O. Handy III, President and Chief Operating Officer. I am pleased to introduce Washington Trust’s Chairman and CEO, Joseph J. MarcAurele; Joe?
Joseph MarcAurele: Thank you, Beth. Good morning. And thank you all for joining us on today’s conference call. This morning David and I will review Washington Trust performance for fourth quarter and full-year 2013. Ned, David and I will answer any questions you have about 2013 or the year ahead, at the end of the call. I’m pleased to report that the momentum we generated earlier in 2013 continued through the remainder of the year as we earned $9.8 million or $0.58 per fully diluted share for the fourth quarter. This strong fourth quarter performance contributed to full-year 2013 net income of $36.2 million or $2.16 per diluted share and are the highest earnings in the company’s history. Our key profitability measures, capital measures and asset quality ratios were strong reaffirming our position as one of the top performing financial institutions in our region. Our record results and solid performance are a testament to our business model and our diversified earnings stream. We continued to grow the company during challenging economic times and compete head-to-head with our larger competitors by offering a comprehensive line of financial products backed by local and personal service. Our great products and outstanding service have continued to prove to be a win-win proposition. We had good growth along most key business lines for the fourth quarter helping us reach a record level of total loans, total deposits and wealth management assets under administration. Total loans reached $2.4 billion at year-end, the healthy third-quarter commercial loan pipeline contributed to strong fourth-quarter level of closings. A good portion of this growth again came at the expense of our larger competitors. Mortgage origination production was down both in the fourth quarter of 2013 and year-over-year but we continued to generate respectable levels of production particularly in the newer markets we have entered in recent years. During the fourth quarter of 2013 we opened the mortgage production office in Stanford Connecticut enabling us to service the Fairfield County Connecticut market; one that we feel will be good for us. We also recently opened a mortgage production office in Braintree, Massachusetts. It’s our third markets facility in the greater Boston area, again a good market. Deposit growth continued steady into the fourth quarter with total deposits reaching at all-time high of $2.5 billion at year-end. Demand deposits were up an impressive 16% from the end of 2012, primarily due to new commercial and cash management relationships. Our plans to generate future deposit growth includes the opening of the new Johnston, Rhode Island branch; that is scheduled to open early in the second quarter. Our wealth management area has a solid fourth quarter in the year posting annual revenues of nearly $32 million and reaching $4.78 billion in assets under management. Over the past year the wealth management team has had good success in developing new client relationships, particularly by working closely with attorneys and accountants as well as other Washington Trust business partners. Now I’m pleased to introduce Ned Handy who has joined Washington Trust in November 2013 as President and Chief Operating Officer. Ned served as Citizen’s President of Rhode Island in Connecticut and is very well-known and respected in all the states and throughout New England. He’s made an immediate impact and his presence at Washington Trust has been significant. He’s already accompanied business development officers on prospect and client calls and met really all of the employees of the company. So I would like to turn the call over to Ned right now. Ned.
Edward O. Handy III : Thanks, Joe. It’s a pleasure to be here. As Joe mentioned I spent the last couple of months on the road meeting Washington Trust employees at our retail branches, in our mortgage offices and spending time with our commercial bankers and have met several of our customers and even spent some time with members of the investment community. And I knew Washington Trust had a great story, I saw it from the outside end but with each visit I have become more and more aware of just how special this company is. Washington Trust had a strong financial foundation and an amazing history but more than that what I found is that the people genuinely care about their customers. They care about their fellow employees, they care a lot about the communities in which we work and that’s what community banking is all about. And so I couldn’t be more excited to be a part of this outstanding organization as I look forward very much to working with Joe and David and the rest of the Washington Trust team to help keep the momentum going. So, at this point I would like to turn it over to David for his financial review of the quarter and the year and happy to help answer questions at the end. David.
David Devault :
. : Loans amount to $2.46 billion at December 31, up 7.4% during the year. Deposits rose by $50 million in the quarter or 2%, reaching $2.5 billion. Total deposits are up 8% in the last 12 months. Wealth management assets under administration increased by 4% in the quarter and now stands at $4.78 billion at December 31. The fourth quarter net interest income was $23.5 million, up modestly on a linked quarter basis. The net interest margin for the fourth quarter was 3.24% compared to a linked quarter result of 3.29%. The yield on interest earning assets declined by 10 basis points on a linked quarter basis, largely due to lower yields on commercial loans; meanwhile, the cost of funds improved by 4 basis points. Non-interest income was $15 million in the fourth quarter and continues to contribute significantly to our profitability. Included in non-interest income in the fourth quarter was an other-than-temporary-impairment charge of $717,000 on a trust preferred collateralized debt obligation security. Debt security was sold in January with a realized loss equal to the impairment charge. We have no other security holdings in the trust preferred CDO category. In our wealth management business, revenues were $8.8 million in the fourth quarter, an increase of 16% on a linked quarter basis. This included a 5% increase in asset-based revenues totaling $7.7 million in the quarter and an increase of $805,000 in transaction-based revenues which totaled $1.1 million. The increase was primarily due to an above average level of insurance commission income. Transaction based revenues of this nature were about $700,000 higher than the average amount recognized to each of the three previous quarters in 2013. Wealth management assets stands at $4.78 billion at the end of the year, following a 4% linked quarter increase and a 14% increase in the last 12 months. Net gains on loan sales and commissions received on loans originated for others declined by $1.4 million or 47% on a linked quarter basis. I am excluding the $977,000 gain related to a sale of, a group of loans from portfolio in the third quarter in this comparison. These results are primarily due to a decline in refinancing activity due to higher mortgage interest rates. Residential mortgage loans sold into the secondary market declined from a $114 million in the third quarter to $66 million in the fourth quarter. Meanwhile, net gains on interest rate swap contracts totaled $726,000 in the fourth quarter, up by $672,000 in the previous quarter. And this increase was largely due to an above average level of customer related interest swap transactions in the quarter. The amount of the gains in the fourth quarter were about $650,000 higher than the average in each of the first three quarters of 2013. Also in the fourth quarter, merchant processing fee revenue was down by $1.1 million on a linked quarter basis. This is a typically seasonal trend and correlates with a corresponding linked quarter decline in merchant processing expenses. Speaking of non-interest expenses, total non-interest expenses in the fourth quarter was $24 million down $1.5 million from the third quarter. Looking at the linked quarter comparison we see that the third quarter included debt prepayment penalties of $1.1 million, there were no expenses in that category in the fourth quarter. We also had a $400,000 expense in the fourth quarter for a contribution to our charitable foundation, there was no such expense in the third quarter. Excluding these items non-interest expenses for the fourth quarter were down about $755,000 from the previous quarter. Salaries and employee benefits were down $212,000 or about 1%, the largest reason was the modification to our define benefit, pension plans that we had previously disclosed at the end of the third quarter. Correlating to the linked quarter decline in merchant processing fees I mentioned a few moments ago linked quarter merchant processing expenses were down by $926,000 also a 32% change. On the balance sheet, we’re pleased to note that total loans were up 5% in the quarter, commercial loans were up 5% or $65 million with growth in both the commercial real-estate and C&I portfolios, in addition residential loans were up 6% and the total loan portfolio is $2.46 billion at the end of the year up 7% from the end of 2012. Deposit growth also continued with an increase of 2% in the quarter. We were pleased with the increase in the category of demand and NOW account deposits which were up 4% in the latest quarter. Total demand and NOW deposits represent 30% of total deposits up from 23% of total deposits just three years earlier. So we made good progress in growing that low cost component of our deposit base. Deposit growth for the full year was 8%. Looking at asset quality, we saw improvement in a number of important credit metrics in the quarter, non-performing loans declined to $18.3 million, now stand at 0.74% of total loans, down from 0.83% at the end of the third quarter, total loan delinquencies also declined ending the quarter at just under $22 million or 0.89% of total loans down from 1.02% in the third quarter. Net charge-offs were $522,000 in the quarter compared to $576,000 in the third quarter. As a result of the continuing trend of asset quality improvement the loan loss provision charged to earnings was $400,000 in the fourth quarter compared to $700,000 in the third quarter. Total shareholder’s equity for the corporation is $330 million at December 31, an increase of $6 million in the quarter. The corporation and our subsidiary bank continued to remain well capitalized. Total risk-based capital ratio for the corporation is 13.29% at the end of December, up three basis points from the end of 2012. In December, we declared a quarterly dividend of $0.27 per share paid on January 10, this was a $0.01 increase in the dividend rate and it represented the third quarterly increase in our dividend during 2013. And at this time I will turn the call back to our chairman and CEO, Joseph MarcAurele. Loans amount to $2.46 billion at December 31, up 7.4% during the year. Deposits rose by $50 million in the quarter or 2%, reaching $2.5 billion. Total deposits are up 8% in the last 12 months. Wealth management assets under administration increased by 4% in the quarter and now stands at $4.78 billion at December 31. The fourth quarter net interest income was $23.5 million, up modestly on a linked quarter basis. The net interest margin for the fourth quarter was 3.24% compared to a linked quarter result of 3.29%. The yield on interest earning assets declined by 10 basis points on a linked quarter basis, largely due to lower yields on commercial loans; meanwhile, the cost of funds improved by 4 basis points. Non-interest income was $15 million in the fourth quarter and continues to contribute significantly to our profitability. Included in non-interest income in the fourth quarter was an other-than-temporary-impairment charge of $717,000 on a trust preferred collateralized debt obligation security. Debt security was sold in January with a realized loss equal to the impairment charge. We have no other security holdings in the trust preferred CDO category. In our wealth management business, revenues were $8.8 million in the fourth quarter, an increase of 16% on a linked quarter basis. This included a 5% increase in asset-based revenues totaling $7.7 million in the quarter and an increase of $805,000 in transaction-based revenues which totaled $1.1 million. The increase was primarily due to an above average level of insurance commission income. Transaction based revenues of this nature were about $700,000 higher than the average amount recognized to each of the three previous quarters in 2013. Wealth management assets stands at $4.78 billion at the end of the year, following a 4% linked quarter increase and a 14% increase in the last 12 months. Net gains on loan sales and commissions received on loans originated for others declined by $1.4 million or 47% on a linked quarter basis. I am excluding the $977,000 gain related to a sale of, a group of loans from portfolio in the third quarter in this comparison. These results are primarily due to a decline in refinancing activity due to higher mortgage interest rates. Residential mortgage loans sold into the secondary market declined from a $114 million in the third quarter to $66 million in the fourth quarter. Meanwhile, net gains on interest rate swap contracts totaled $726,000 in the fourth quarter, up by $672,000 in the previous quarter. And this increase was largely due to an above average level of customer related interest swap transactions in the quarter. The amount of the gains in the fourth quarter were about $650,000 higher than the average in each of the first three quarters of 2013. Also in the fourth quarter, merchant processing fee revenue was down by $1.1 million on a linked quarter basis. This is a typically seasonal trend and correlates with a corresponding linked quarter decline in merchant processing expenses. Speaking of non-interest expenses, total non-interest expenses in the fourth quarter was $24 million down $1.5 million from the third quarter. Looking at the linked quarter comparison we see that the third quarter included debt prepayment penalties of $1.1 million, there were no expenses in that category in the fourth quarter. We also had a $400,000 expense in the fourth quarter for a contribution to our charitable foundation, there was no such expense in the third quarter. Excluding these items non-interest expenses for the fourth quarter were down about $755,000 from the previous quarter. Salaries and employee benefits were down $212,000 or about 1%, the largest reason was the modification to our define benefit, pension plans that we had previously disclosed at the end of the third quarter. Correlating to the linked quarter decline in merchant processing fees I mentioned a few moments ago linked quarter merchant processing expenses were down by $926,000 also a 32% change. On the balance sheet, we’re pleased to note that total loans were up 5% in the quarter, commercial loans were up 5% or $65 million with growth in both the commercial real-estate and C&I portfolios, in addition residential loans were up 6% and the total loan portfolio is $2.46 billion at the end of the year up 7% from the end of 2012. Deposit growth also continued with an increase of 2% in the quarter. We were pleased with the increase in the category of demand and NOW account deposits which were up 4% in the latest quarter. Total demand and NOW deposits represent 30% of total deposits up from 23% of total deposits just three years earlier. So we made good progress in growing that low cost component of our deposit base. Deposit growth for the full year was 8%. Looking at asset quality, we saw improvement in a number of important credit metrics in the quarter, non-performing loans declined to $18.3 million, now stand at 0.74% of total loans, down from 0.83% at the end of the third quarter, total loan delinquencies also declined ending the quarter at just under $22 million or 0.89% of total loans down from 1.02% in the third quarter. Net charge-offs were $522,000 in the quarter compared to $576,000 in the third quarter. As a result of the continuing trend of asset quality improvement the loan loss provision charged to earnings was $400,000 in the fourth quarter compared to $700,000 in the third quarter. Total shareholder’s equity for the corporation is $330 million at December 31, an increase of $6 million in the quarter. The corporation and our subsidiary bank continued to remain well capitalized. Total risk-based capital ratio for the corporation is 13.29% at the end of December, up three basis points from the end of 2012. In December, we declared a quarterly dividend of $0.27 per share paid on January 10, this was a $0.01 increase in the dividend rate and it represented the third quarterly increase in our dividend during 2013. And at this time I will turn the call back to our chairman and CEO, Joseph MarcAurele.
Joseph MarcAurele: Thank you, David. Washington Trust had another solid year in 2013, we plan on keeping the momentum going this year. As I mentioned earlier in the call our success is due to our core business model. We continue to believe that the markets we operate in will provide us with the opportunity for more organic growth as we go forward. Given that we’ll continue to focus on the same key strategies that we will continue to use to help us grow our company while enhancing shareholder value. I thank you for your time this morning, and now Ned, David and I will be happy to answer your questions.
Operator: We will now begin the question and answer session. (Operator Instructions) And our first call comes from Damon DelMonte of KBW. Please go ahead.
Damon DelMonte - KBW: My first question just kind of talking about last comment about you believe this continued good organic growth opportunities for you guys. I guess first what aspects of the loans portfolio do you feel offer the greatest opportunity for one. And for two, how do you look at the overall growth of the portfolio from full year to full year?
Joseph MarcAurele: Damon I think we can continue to do what we have done over the last few years, which is medium to high single-digit commercial loan growth. We do see that with some of the hires that we made in commercial banking and our addition of the new President and COO who is a commercial banker by the training that we are hoping to also making further inroads into the C&I kinds of business in the markets that we operate in and primarily we’re not only connect.
Damon DelMonte - KBW: Okay. And then the increase this quarter and for the residential mortgages, correct me if I’m wrong but that is the function of they being more attractive to hold the residential mortgage versus trying to sell it given the compressed gain on sale, is that correct?
Joseph MarcAurele: Yes. There is -- it’s not so much to the compressed margin for the gain on sale but it is an opportunity given what’s happened to rate environment for us through whole (Ph) what are more attractive on products on our balance sheet and our overall production while the fees have gone down, our overall production has gone down. So, that is one of the contributing factors to some of the residential growth that we put on this balance sheet this quarter.
Damon DelMonte - KBW: Okay. And then as far as just your outlook for mortgage banking in general, you know pretty sizable quarterly decrease in your revenues. Do you see that rebounding or do you think that’s going to continue to turn lower.
Joseph MarcAurele: I think right now it’s difficult to totally predict that. Again as I said on other calls one of the reasons why we feel reasonably good about the mortgage businesses, we have entered some markets that we think are attractive to us but right now it’s probably reasonable to think that the gain volumes that we saw in the fourth quarter will be closer to what we could expect.
Damon DelMonte - KBW: Okay. And this is last question and then I’ll go back in the queue. Just David, on the margin outlook, how do you feel about the margin going into 2014, you feel you’ve recent and fraction point or do you think there will be additional pressures.
David Devault: I think there will be some continued pressure with the reprising downward and on balance and in the loan portfolio and to a certain extend on the securities portfolio as well so that will depend on the path of rates and its longer term rates and it continue to get better and if we get boost in short term rates and it would change dramatically but right now for the good I would say. And right now, we would say that this will be continued pressure in the near term.
Operator: Our next question comes from Mark Fitzgibbon of Sandler O'Neill & Partners. Go ahead.
Mark Fitzgibbon - Sandler O'Neill & Partners: Just a follow up on that last question first off, so David I’m curious assuming rates kind of hold here, when do you think the margin compression begins to subside, when will all that reprising do you think have fallen through the balance sheet?
David Devault: It could be several more quarters of modest decline in net margin, our goal is to manage that as effectively as we can through prudent pricing and obviously growth will help to offset the impact of that as well.
Mark Fitzgibbon - Sandler O'Neill & Partners: Okay. And then separately on the wealth management business, I noticed that it looked like you guys did some restatement within that could you just explain what happened there?
David Devault: I’m not sure, there was no restatement done that we intend to communicate. So, I’m not sure what you’re looking at there, Mark.
Joseph MarcAurele: Mark, are you talking about the fact that we had fairly high level of turning back to base fees and insurance for example?
Mark Fitzgibbon - Sandler O'Neill & Partners: Exactly.
Joseph MarcAurele: Yes. I mean it is part of our business but I would say that our ability to generate really the very significant amount of insurance base commission fee income was a little bit chunky and somewhat unusual high for the good in the fourth quarter.
Mark Fitzgibbon - Sandler O'Neill & Partners: Okay. And then also, I noticed yes that fairly large charitable donation in the quarter, was that sort of one item or whole group of different items.
David Devault: Well, we managed that periodically with a contribution to our charitable foundation and then that usually is the annual expense for us and then it makes contributions to the community throughout the year.
Operator: (Operator Instructions). Our next question comes from Taylor Brodarick of Guggenheim Securities. Go ahead.
Taylor Brodarick - Guggenheim Securities: Thank you. I guess first question on wealth management, I know you broke down, the fees by asset base and transaction but put your commentary about working with accountants and attorneys so how much of growth is being driven by new relationships and how much by sort of the increasing product breadth?
Joseph MarcAurele: Well, we certainly look very hard at improving and developing those relationships to continue to serve as a source of new business. We are doing everything we can and plan to do more of that in the future. At the same time, there is just part of the business is that people do use their funds and withdraw their asset, so it’s an ongoing steady effort to continue to develop business.
Taylor Brodarick - Guggenheim Securities: Okay. I guess, just switch over to asset quality. Looked like on the other commercial loans so your 30 to 59 pass due had a nice drop from on a linked quarter basis and did look like that it was migrating into 60 to 90. Am I missing anything or is there any interesting data points around sort of those migrations or inflows?
Joseph MarcAurele: Well, it’s a good point. We would say that it has been our observation that the frequency and amount of loans that have been moving into non-performing status has definitely has declined substantially and noticeably in the last three consecutive quarters. There is always noise within those delinquency statistics, but in my mind what they are telling us is that the formation of non-performing loans has really slowed down tremendously.
Taylor Brodarick - Guggenheim Securities: And okay one more from me and I guess David could you remind me CD schedule, maturity schedule for 2014 what that is and if there is any sort of lumps in any quarter we should look for some more COF leverage?
David Devault: There is some modest improvement to gain or beneficial impact of CD rollover in the next couple of quarters. It’s a little bit more significant towards the second half of the year but it is I wouldn’t say was extreme and obviously that will depend on what rates are at that time.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Joseph MarcAurele for any additional comments (Ph).
Joseph MarcAurele: Thank you very much. Well, I just wanted to thank everyone for your continued interest in our company. We appreciate all of your interest in us and if anyone has any follow on questions, you should feel very comfortable in calling management. And we will try to help you. So thank you and we will talk to you again next quarter.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.